Claudia Introvigne: Good afternoon to everybody, and welcome to our 2025 preliminary results presentation. I'm Claudia Introvigne, as I think you already know me. I'm responsible for Investor Relations here in Leonardo. And today, I'm really pleased to have with me our CEO, Roberto Cingolani; and our CFO, Giuseppe Aurilio, who is at his first report here in Leonardo. We are pleased to present our preliminary results, which will be focused on 2025. Please remember that you are all invited on the 12th of March to our Industrial Plan presentation. when we will also present to you our 2026 guidance. So please bear it in mind in the Q&A session that will follow. Thank you. And now I will hand over to our CEO, Roberto.
Roberto Cingolani: Thank you. Thank you, Claudia. Hello, guys. Nice to see you again digitally. As usual, we make the pre-closing the preliminary of the year, the Q4. And then in about 3 weeks, we will have a much longer session about the update of the new Industrial Plan. Somehow, this is the last Q4 we celebrate together. So it's a fairwell session, up to be back the day after the 12, of course of March. Today, we want to share with sample data. And first of all, let me acknowledge the fantastic work that we did with the new team with Claudia that you already met a couple of, I think, in the last report, the Q3 and with Giuseppe Aurilio, who was integrated immediately in the team. The transition was extremely smooth. Giuseppe knew very well the company, was in the company for many, many years, and we were extremely effective. So maximum satisfaction from my side about the progress of the work and the reporting with the new team. So let's see the numbers. Numbers for the Q4, though preliminary, they're almost exact, I would say, they are very satisfactory. Let me start with the comparison year-over-year. About orders, we were expecting something in the range of EUR 22 billion to EUR 22.7 billion. So that was the updated guidance, and we closed with EUR 23.8 billion to be compared to EUR 20.8 billion last year. So it's plus 14%. Concerning revenues, we closed with EUR 19.5 billion, plus almost 11%. The guidance was EUR 18.6 billion. Last year, it was EUR 17.6 billion. The EBITA is also remarkably growing. We closed EUR 1.75 billion, so plus 18%. Our guidance -- updated guidance reported EUR 1.66 billion. Last year, it was EUR 1.48 billion. The return of sales is increased by 0.6%. So we go from 8.4% to 9.4% (Sic) [ 9.0% ] this Q4. Cash generation also here, I mean, for the first time, we break the psychological threshold of EUR 1 billion. I think we finished EUR 1 billion plus some little money extra. The updated guidance was EUR 0.92 billion to EUR 0.98 billion. Last year, it was EUR 0.84 billion. And the net debt is reduced by 44% down to the level of EUR 1 billion. Last year was EUR 1.8 billion. So we -- I think we got all the results we had in mind, slightly better than the updated guidance. Let me make the story because this is the last Q4 in the mandate. And I think it's interesting to discuss with you the significant growth and the financial transformation that Leonardo underwent over the last less than 3 years. So orders have been growing by 38%. When we started our mandate, they were in the range of EUR 17 billion. Today, we are in the range of almost EUR 24 billion. Revenues were growing by 33% over the 3 years from EUR 14.7 billion to EUR 19.5 billion. And I think this is encouraging, but I think it's even more encouraging to see that EBITA and free operating cash flow were growing super linearly compared to the orders and revenues. As you see, the EBITA was rising from EUR 1.22 billion up to EUR 1.75 billion, 44% and the free operating cash flow grew by 88% from EUR 0.5 billion to EUR 1 billion. Now I think this is -- this deserves some consideration. First of all, let me remind you my usual gesture. At the beginning, I said orders, revenues, EBITA and FOC, we're not happy because the orders were growing, but the FOC was not growing properly. And the -- actually, the target was to have something like this. So the curve should have been kind of parallel. I think we are on the right track. For sure, orders and revenues are growing, but you see EBITA and free operating cash flow are growing faster. That means our recovery in terms of performances, efficiency, cleaning the portfolio and so on and so forth are now giving the right results. Concerning the analysis of the other KPIs, let's say, in the last 3 years, the net debt, as I told before, was going down from EUR 3 billion to EUR 1 billion. Actually, this 67% reduction comes from, first of all, the savings, the efficiency and the rationalization of the portfolio we did so far. It comes from the sale of the undermarine activity, that was. And on top of that, it comes from the higher cash generation that really allowed us to go down to a debt level that is unprecedentedly low in the history of the company, recent history of the company. The dividend, that's very important for us. When we started, we had rather modest dividend that was stationary for many, many years. We were in the range of EUR 0.14, 1-4, EUR 0.14 per share. This has been increased regularly every year. Today, we are at EUR 0.52 per share. So the CAGR was plus 275%. What is important for us is that the dividend yield now is aligned to the European average of the peers. We were below the lowest decade in 2022. And the CAGR of the growth of our dividend is much faster than the one -- the average one of the peers in Europe. So we are now -- we grew up by 55%. And what I would like to anticipate -- I mean, for me, this is very important. I would like Leonardo to be always attractive and satisfactory for our investors. This year, we're going to increase further the dividend. Of course, we are making the detailed calculation. This will depend on the net income. Very likely, we will improve kind of plus 20% because this will follow the expected increase of the net income. So anyway, this is very important for Leonardo because we have to be in the right range as a company with ambition. And of course, we want to reward our investors. Finally, the employees. When we started, we were about 50,000 people. Today, we are about 73,000 people. The growth is 22%. What is very important is not only the absolute number, but also the typology of people and the age and the gender. In the 3 years that we just finished now, we hired net 17,000 people, 1-7, 17,000 people. The important thing is that about 70% of those people are STEM. So they their own essentially a technology degree in science, engineering, mathematics, whatsoever. More than 20% -- more than 30% are women. And what is more important is that 55% of those are below 30, below 30 years old. That means that in these 3 years, we also started an unprecedented transformation in the human capital, getting younger people, much more technology oriented, which followed the portfolio transformation of the company because we need, by far, more STEM to be competitive in terms of new technology and new solutions for defense and security. So at the beginning of the 3 years, that was the picture. We summarized on the left, orders. This have been discussed already, revenues, EBITA, EUR 1.2 billion, free operating cash flow, EUR 0.5 billion. Dividend per share, 0.13, 50,000 people roughly, and the market cap was EUR 4.6 billion. Our portfolio, our matrix portfolio was relatively complex. We had in the air domain, all kind of aircraft and helicopters, not yet a sixth-generation fighter, a lot of electronics in all domain, land, air, maritime, space. And we had some starting Cybersecurity activity and very poor digitalization. So at the very beginning, 3 years ago, there were businesses that were in silos, not interacting very well to each other. So far from the modern multi-domain concept, interoperability concept that are becoming essential mandatory for the future defense. There were several unresolved issues in terms of performance and efficiency and capacity. The product portfolio was fragmented. We had to clean it substantially, also cutting development lines that were absolutely off core business. There was a very limited digital capability. I'm sure you remember this was one of the first point when we started our enterprise. Innovation was quite slow and maybe the confidence of the investors was not so high. Now over these 3 years, we were working quite hard. I'm not going to read again the numbers. Just reminding that thank you to your trust. We could go up in the market cap to $34 billion, and I thank you for this investment believing in Leonardo. But what is more important is that the matrix of products now is very complete. We cover the entire air domain with all platforms, manned and unmanned, which is very important. There was no unmanned whatsoever before. Electronics is getting -- is becoming the glue of all the platforms. Digitalization is transversal to all our platforms from digital twin to digital toolkit for manufacturing. AI, more than 2,200 people that are using AI in production and more than 200 developers of AI capabilities. We doubled our computational power and our storage with the new davinici-2 supercomputer. Land, with the recent agreement with Rheinmetall, the acquisition of Iveco, other agreements with KNDS, another company we are starting to discuss with. In land, we cover all the manned and unmanned platforms. Infantry vehicle, main battle tanks, wheeled and with tracks. Maritime, we own absolutely the control of all the combat system of warship. Space, we started our constellation. We developed with a lot of effort, a new division, and now we own the entire spectrum of satellite services applications. And as you know, we are discussing the constitution of big company at European level with our peers, Thales and Airbus. And Cybersecurity underwent a strong impulse that you've seen from the numbers. But later, Giuseppe will give you more details. So what happened in those 3 years? New product and portfolio rationalization that was essential to complete the matrix. Without this complete matrix, we cannot be in the multi-domain as a leader and not as a followers. We made a number of strategic partnership and joint venture and selective M&A acquisition. This part is what we -- you remember at the beginning, we presented as our inorganic growth plan. The strategic partnership are bringing in very good results. We now have all the platforms for drones. By the way, I anticipate that in April, we will launch our first drones from the Ronchi dei Legionari plant in collaboration with our friends in Baykar. GCAP, everything, this is -- the Edgewing company has been constituted and we are up and running. Actually, I think this is the last big consortium left in the international landscape. So we're in a very good position. Bromo for space, I already mentioned, selective M&A moves, especially in the field of Cybersecurity we're very convincing. We now own in cooperation with our partners, Zero Trust capability, and we are developing very quickly the portfolio of Cybersecurity. We accelerated the digitalization in a way that has never been done before, including the doubling the power -- the global power computation and storage that we have with the company. We have launched the capacity boost program. I'm happy to say that the capacity boost program has now reached a maturity point. We have more than 300 manufacturing and production pilot programs, and there is a team of about 100 people distributed in the company that are working directly onto the production line. So this went from theory to production line in about 6 months. And then, of course, we are pursuing our disciplined capital allocation program. This is fundamental. The numbers are good. The net income is good, free generation -- free cash generation is good. Debit is under control. This is the time to make a very ambitious but disciplined capital allocation to accelerate further the growth of Leonardo for the next years. So at the beginning, 3 years ago, we had a rather complete portfolio, little digitalization in that some Cybersecurity was the only thing available. And of course, we knew at that time that was very important to create the capability for a multi-domain technology. Now actually, after 3 years with the effort we did, we are able to face the market with a very complete portfolio. There is everything, from the constellation to all the manned and unmanned flying systems to all the land manned and unmanned flight system, entire suite for global combat system in the ships. And the space has been substantially improved in terms of data analysis, constellation, ground stations and so on. On top, high-performance computing and cloud for AI generation has been improved substantially. Cybersecurity has been reinforced and it's growing fast. And as I said before, the constellation is there to provide data and supervision. In the end of the day, we said 3 things 3 years ago, bullets and bytes. At that time, it sounds like a very exotic statement, but I think now it's commonly accepted everywhere in the world. A large part of the effort in defense goes through digital technologies. coupled to bullet technologies, let's say, meta-mechanical platforms. The second message was no one can make it on its own. So joint ventures, acquisition alliances are fundamental to accelerate the response towards the dramatic demand that we have on the market and also to facilitate the creation of a European space of defense, which is, before being political, this has to be industrial. And finally, we are preparing ourselves to face a real challenge over the next decade and possibly more than one decade, which is passing from the [ bare ] defense, which means essentially weapons and weapon system to a much more complicated global security approach, which should defend our countries by the hybrid wars. So no matter whether we will have conventional wars in the next decade or all the wars will finish, and we will have another kind of war, which is a cyber war, safety, security of the infrastructure, energy security, food security, all those things will cause damages and economical losses that are incredibly high. So we are preparing Leonardo ready to face both challenges. This will be the content of the new plan, the updated plan that we will introduce to you guys on March 12. I don't say more. I cannot spoil more. There will be numbers, there will be forecast, but of course, there will be strategies that will design, will pave the way to the future of Leonardo. I conclude before giving the words to Giuseppe, with a bit of sustainability. I'm very proud to say that meanwhile, Leonardo was growing quite fast in terms of group revenues. So basically, in a few years, we grew up by 40%. You -- well, of course, consider that this was the COVID time. So that was a very complicated period. Let's say, most of the growth was in the last 3 years, as I said before. We were able to work quite effectively on water withdrawal, waste production and reduction of emission by Scope 1 and Scope 2. And you see how counteracting are the -- is the growth of the business compared to the improvement in terms of sustainability, Scope 1, Scope 2, waste produced and water withdrawal. Those are the numbers, if you like to see them. And on top, the workforce, as I told you before, was increasing substantially, improving diversity and improving the global fraction of young people below 30 and also reinforcing the innovation because today, we have reached approximately 20% increase year-over-year in innovation. So today, Leonardo can safely state that we invest 15%, 1-5, 15% of our revenues in R&D, which is actually the safest way to be very competitive in the future at the level of the best companies in the world. Now the -- what we did so far has given a very good results in terms of ESG rating. In this radar plot, you see Leonardo now a day. Those are the main ranking that I'm sure you're familiar to, so I'm not taking time to go through them, where we are always in a very good situation. And this curve is the radar curve average of the peers. So it seems that Leonardo has gained a very prominent advantage in terms of sustainability of the business compared to the peers. Of course, the core business is to make the best technology ever, but also being sustainable is very important. Now before concluding and giving the stage to Giuseppe Aurilio, I want to anticipate 2 things that I'm sure you're going to ask me because I promise you to give some important update about Aerostructures and about Iveco. So I'm going to do this now. Happy to answer your question, of course, but I think it's good that I anticipate the core. So concerning Iveco, -- the closing, we confirm the closing by March this year. So we're very close to accomplish the acquisition -- to finish the acquisition. It's -- we are very happy in terms of industry opportunities, wheel and track the systems. The demand is very strong. We are delivering already to the Ministry of Defense, the early machines with Rheinmetall and the capacity will increase, thanks to the Iveco absorption. Concerning the trucks, our colleagues in Rheinmetall are now testing the situation with the antitrust, of course. So this is a mandatory step. So we will give them approximately 6 months of exclusivity in order to check how this can be developed. Anyway, we're going to close because the agreement is that we close, we are in a hurry to increase our capacity. The truck business itself is a truck business -- is a business that has a rather good margin, 12% to 13%. There is absolutely no warning, and there is quite an interesting backlog of orders. So we look forward to see what the antitrust analysis that our colleagues in Rheinmetall will do together with the Leonardo team. And then we will decide how to proceed by, I think, by the mid-'26. There are also other potential companies interested. But as we told you since the very beginning, we try to pursue the strategy with Rheinmetall, wait for the antitrust and then make a decision. There is no worry at all whatever will be the outcome of those analysis in the next few months. Concerning Aerostructures, I have news that are important. So we -- I was personally visiting the top management of our counterpart, potential counterpart. They still ask some confidentiality for 6 months, but I can tell you where we are in a very detailed way. So our stand-alone plan was accepted and evaluated very well by the partner. We evaluated the stand-alone plan of the partner, which is very interesting. The idea is to create a joint venture, which is going to be something like 50-50 at the beginning as an international company. The brain at the beginning stays, of course, in Italy, but we push substantially the production because our partner is both financial and industrial, and they have a strong demand of components for civil aviation, but also for military aviation, rotorcraft and in the near future, potentially also space. So this is going to be a gate towards a new global company that starting with Aerostructures is going open to big markets in the, generally speaking, their domain, aerospace domain. Everything is ready. The due diligence lasted 14 months so far, there were approximately 70 items, 70 assessment lines. About 7 should be finalized this month. The others are completed, green spot, so they are done. Our partner is waiting for the confirmation that some incentives will come by the local ministers that will complete the financial plan. And the commitment because the exclusivity is given up to June is to sign before that date. I think industrially speaking, we finished our work. Our customers, so the main builder are aware of that. We, of course, confirm at the very beginning, we will keep absolutely the quality as usual in our plants, while we transfer some of that technology, some of those technologies in the partner company, in the partner plants. So we expect a very smooth transition, quite an announcement of the business which is going to be -- because it's going to be a global player, not a limited division, let's say. And I expect also to see a positive impact already in the 2026 balance sheet as soon as we complete. I can't say more details because confidentiality is a primary requirement for our partner. But I think I gave you a clear picture. You know where we go, and you know that 95% of the job has been done. Thank you very much for your attention. I give the stage to Giuseppe for the financials, and then we'll be happy to answer your questions. Thank you, guys.
Giuseppe Aurilio: Thank you, Roberto, and good afternoon to everyone. I'm very pleased to be here presenting our full year results, our strong performance for the year and looking forward to meet you, as many as possible of you in Rome when presenting our updated Industrial Plan. Let me start with some initial consideration as I'm now serving as CFO of Leonardo since 3 months. So as Roberto was saying, the trans -- my transition was very smooth. I found a very strong management team and a very strong team. So this is helping me a lot in understanding the complexity of our business. I found a company and a group which has a very clear strategy. I was impressed when reading back all the papers that we were presenting to the market how linear is the connection between what we said at the beginning of the 3-year mandate and what we have been doing during these 3 years. And I found also a group which has transformed a lot at a very quick pace. I see from a financial point of view, the difference in terms of profitability and cash flow generation. As you were seeing where Roberto was presenting the results for the 3 years, the increase in EBITA and free operating cash flow is much bigger compared to the top line. This means that we have been doing a great job in recovery efficiency and improving cash flow generation. So very strong performance, as I said, we exceeded all the guidance in all the KPIs. So orders are around EUR 24 billion this year, driven by successful export campaign. We will see when discussing about the divisions that this increase is spread over all the divisions. Of course, there is a focus -- a specific focus on Aeronautics because it's where we got the Kuwait service order follow-on very big order in Kuwait. Revenues were at EUR 19.5 billion, so well above our guidance. And the same for EBITA, EUR 1.75 billion. So the EBITA increased both for the volume effect, but also because we recovered profitability with a return on sale up to 9% from 8.4%. So 60 basis points up. Free operating cash flow was above the EUR 1 billion threshold, which was impressive to me. If I think back about my first period in Leonardo, I was also in the CFO department, we were struggling every day on cash flow generation to improve, but with the level of the target, which was completely different. So being above EUR 1 billion is a challenge -- was a challenging target, and I'm very happy about these results. And this has led the debt -- net debt down to EUR 1 billion. Of course, we have here the positive impact of the cash flow generation for the year, but also the proceeds from the disposal of the UAS business early 2025. So as I said, we are growing. We are continuing to grow it, but increasing profitability and cash generation. So let's focus on the orders. For the year, orders were up 15% year-on-year with total backlog at EUR 47 billion. As you can see, the book-to-bill was above 1 in all the division at 1.2 at group level with a very strong increase, as I said, in Aeronautics, where we have the effect of the extension of the support service contract for the EFA Kuwait, but also very good momentum. So new orders on trainers, C-27J. And of course, we have strong opportunities also for the future. Defense Electronics, we see there is an increase of 5%, 8% if we look at Europe, you know that inside the Electronics Defense, we have Europe, U.S., DRS plus the contribution at least at EBITA level of our JVs. So Leonardo DRS was negative year-on-year, but just because of the exchange rate of the translation of the dollar, which was negative. Otherwise, it will be positive by 4% compared to 2024. Helicopters market a growth of about 5%. So Here, the growth was driven also by the customer service activities, which is very important in our strategy as it is part of the road map we have to increase profitability in helicopters, and we will see later on some results on that. Finally, so we are growing a lot in our 3 bigger pillars, electronics, helicopters and aeronautics. But I'm happy to highlight that we are above EUR 1 billion orders per year also in cyber and space, which were very small when starting the execution of this industrial plan. You may remember that Cybersecurity was about EUR 0.4 billion in terms of revenue in 2022, now we get at EUR 1 billion orders. Space was not a division. It was part of other division. The activities in Space were part of other division or were operated through the Space Alliance. So now it's a division with EUR 1 billion orders and EUR 1 billion revenues per year. So I think this is a very good sign of the proper Industrial Plan, which was set at the beginning of this year and the execution of that Industrial Plan. This increase in orders, of course, has pushed up also revenues, which were up 11% compared to 2024. So double-digit growth, double-digit growth also over all the divisions. So we have growth at group level, but also at the same pace in all the division. So Defense Electronics & Security, we have a strong growth in Europe, 11%, but also in Leonardo DRS, again, this 8% that you read on the table, of course, is affected by the negative translation difference on the dollars. Otherwise, it will be above 10%. So very strong increase also in Leonardo DRS. Helicopters were up by 11% compared to last year. So 1 year ahead of Industrial Plan targets, where we were supposed to get the same level of revenues in 2026 and higher volumes driven both by the Helicopter and the platforms, but as said, also with the customer support. If we look at the deliveries of the Helicopter division, this year, we are slightly down in total compared to last year, 182 deliveries versus 191, but the mix is completely different because in 2024, the weight of light and very light helicopters was much bigger. So for instance, we had 42 light helicopters against 14 this year for the U.S. Navy. So you can understand that the number in total of deliveries is lower this year, but the mix is more favorable in terms of unit per delivery. And I want to underline also increasing contribution of customer support. where we have higher margins, and this is an important part of our road map to improve profitability in Helicopters. Aeronautics performed in a very solid manner. I think we are well progressing in all the main programs, EFA, proprietary platforms, GCAP, JSF, so very solid performance. Aerostructures were slightly negative, but in line with the budget, and we will come back on this point while discussing about the profitability because I think Aerostructure was a key point. And of course, Cybersecurity pace are increasing following the success we have on the commercial side. So revenues at the end, EUR 19.5 billion with Italy accounting for about 23%. So the international dimension of the group is increasing every year as planned in our Industrial Plan. This increase in revenues has an effect -- a positive impact on EBITA, which is up 18% year-on-year -- this is not only because of the volume effect that you see on the table that a portion of that increase is linked to the volume effect. But of course, we have also a significant increase in profitability. We said that the return on sales has gone up by 60 basis points from 8.4% to 9%. And so this is a clear effect of the actions we are doing to improve our profitability and cash generation. Also here, we had a small negative impact for the translation of the dollar figures of DRS, but quite small. If we look at the EBITA by segment, I think it's interesting to deep dive on each division. Starting from Defense Electronics, which is this year above EUR 1 billion in terms of EBITA, with a return on sales close to 13%, slightly better apparently compared to last year. But then I think as I said earlier, we need to look at the composition of the value of the EBITA for the division. As you know, we have 4 building blocks. We have Electronics Europe. And here, our EBITA was about 11% from 10.3% in 2024. So very good increase. We have Leonardo DRS, which has increased its profitability from 10% to 10.4% and also, we have the contribution of our JV and strategic partnership, MBDA and Hensoldt, which in total gives a contribution of EUR 180 million, which is about EUR 20 million less than 2024. So if we look at the overall ROS, we see a slight -- only a slight increase, but because it is affected by the negative variation compared to last year of our JV. So a little bit surprising this negative variation, I will explain better why. As you know, we put in our EBITA the net result coming from the JV. So we put on our EBITA also the impact, which is below the EBIT line of those JV. So mainly tax, which were this year higher in MBDA. MBDA is a group which is performing very well. This year is going to be close to EUR 6 billion in terms of revenue with a backlog of EUR 44 billion. So double-digit profitability. So it's performing very well. But if you go to the last line of the profit and loss, we got a tax charge because of the tax reform in France, which has affected the net result. So profitability in Electronics division growing slightly, but only because of this impact on the JV. Helicopters, we have increased our profitability from 8.8% to 9% ROS. So here, we see the benefits from our actions, both on the efficiency on engineering and our supply chain management, but also the increased contribution from customer support. As I said, we have higher margins on customer support, and this is part of our strategy. Aircraft, again, very solid performance in Aircraft division, close to 13%, driven by the programs I was mentioning before. Aerostructure was negative by EUR 130 million, around EUR 130 million. So still negative, but in line with our provision, and this is true for all the KPIs of Aerostructure, including cash flow. So the plan we made is solid. During the year, we increased also the shipset rates on B787, you know that it is our bigger program in Aerostructure. And during the year, we started from 4 shipsets per month. We arrived at 7 at the end of the year. So a very good progress. We got an agreement also with Boeing that makes our rate plan also for the future much more robust and reliable, and this gives confidence about the solidity of the plan we made on Aerostructure. An additional point about Aerostructure. If you look at Q4 only, you see that Aerostructure is at breakeven. This is due to the impact, of course, of the increase of the rates on B787, but also on the closure of some smaller programs, which has allowed us to release some contingency. So it's a very good sign because it implies a progress and a benefit on the activities we do for Boeing, but it's also not an indicator of the trend going forward. We expect Aerostructure to be in a loss position also in 2026, and we maintain the plan we said in the past. We will go in more detail, of course, in March, but I can anticipate you that, of course, if you see breakeven in Q4 is not what you have to expect in 2026. As said, very important milestone, the agreement with Boeing. It's around 50% of the business. Then we have other activities, which are more or less fine and this is reducing the issues on Aerostructure on around 30% of our revenues. It is the activities so we do with ATR and Airbus. But Boeing now has a more solid profile. Cybersecurity is up 63% compared to last year. Of course, this is mainly due to the different scale. We are increasing scale a lot in Cybersecurity. So the fixed costs have been absorbed much better than in the past. SG&A as well were lower in contribution to the revenue. This has increased the margins. Also, I have to say that we have some very good new programs, which are contributing to the EBITA. Finally, Space, where, again, we have a very significant increase, plus 90%. This is part, let's say, organic. It means the activities we do on the Service segment, where we have been doing very well this year, very strong increase in revenues, a very strong increase in profitability, but it's also due to the lower loss of [ Telespazio ] space. We put here the 33% of the net result of TAS. Last year was negative by around EUR 50 million. This year it's still in a loss position by EUR 23 million, but of course, the reduction is a benefit for the result of the division. TAS is progressing in its recovery plan, still negative, but it's progressing as expected on its plan. The results -- I said the results include also the benefit from our efficiency plan that we launched at the beginning of our industrial plan when executing our industrial plan. We see that also this year, like in the past year, the benefit from the efficiency plan exceeded the budget. We were higher than the budget. So this is -- this gives us a strong confidence that we will be able to achieve also the scale that we have in the plan for the future years. So we are progressing very well also in the efficiency plan, and this is sustaining our EBITA. And the increase of our EBITA, of course, is increasing our free operating cash flow, which is 21% up compared to last year with the same conversion rate, which means that this year, we have been able to translate all the improvements we have done on the operational side on the EBITA in cash, very important because this is a key factor for our future development. So operating cash flow was EUR 2.3 billion, and it was able to pay back also additional investments. We are this year at around EUR 1 billion, increasing compared to last year. And of course, this is a trend that we will see also in March when presenting the new industrial plan. Of course, we paid also interest and taxes for EUR 0.3 billion, leading to a free operating cash flow of EUR 1 billion. Again, this is the best ever. It's a comment that is applicable to all the KPIs because it's the best ever for all the KPIs. But in free operating cash flow, as we were seeing when looking at 3-year mandate of the current Board of Directors is the most powerful indicator of the improvement of the group. Thanks to this cash flow generation, group net debt has gone down by 44% year-on-year, starting from EUR 1.8 billion and closing at EUR 1.0 billion. We have, of course, also the benefit coming from the proceeds of the sales of the U.S. business, EUR 0.4 billion. But also, as Roberto was mentioning at the beginning, we paid a much higher dividend this year, EUR 0.3 billion. So net final position, EUR 1 billion. I think it's important also to look inside this EUR 1 billion to understand how it is built up, to understand also our -- how flexible and solid is our balance sheet. We have a group net debt that is in total EUR 1 billion, but excluding lease liabilities and net payables to joint venture is positive by EUR 0.9 billion. Now what is this line? This line borrowings, loans to joint venture is the cash that our joint venture deposits to us, mainly MBDA, of course. So it's our share of cash in the joint venture. As I said, the trend in MBDA is such that, I mean, this is cash we usually have in our hands and it's owned to MBDA to the JV, but of course, it's our share of cash in the JV. So if we look at the subtotal before those 2 lines, we have a positive net financial position by EUR 1 billion. Very important also to link with the commitments we have, the potential outflows we have in 2026. In March, when closing the Iveco deal, we will have cash outflows that before the cash in the company is around EUR 1.7 billion, but we have the money available to pay that amount. So very good results. very well positioned for the 2026 also based on a strong fourth quarter, which is part, by the way, of the actions we are doing on the cash flow generation and the profitability, trying not to be too much concentrated in the last part of the year. So derisking the free operating cash flow also trying to anticipate and be compliant with the milestones we have during the year in order not to be too stressed at the end of the year. Still some area improvements because if you look at the trend of the free operating cash flow, it's, of course, negative and probably it's something related to the business, which cannot change, but it's strongly negative over the first 3 quarters. but much less compared to the past. So this is an effort that we are doing. We are trying to make revenues, profit, free operating cash flow more linear over the year. I think this year, we have been quite successful in doing this. Of course, to do that, you have to focus mainly on the execution of the contract, on the achievement of milestone and then our revenues and EBITA to be sure that you are able to cash in the money before the year-end. So again, this is our full year results. This makes us very confident about the future development of the group.
Claudia Introvigne: Thank you, Giuseppe. So now I think that we are ready to take your questions. The first question is coming from Sam Burgess from Goldman Sachs.
Giuseppe Aurilio: We can't hear anything.
Samuel Burgess: Can you hear me? Can you hear me?
Giuseppe Aurilio: Yeah, now we can hear you.
Samuel Burgess: Given we're getting some guidance in a couple of weeks, I'll try and contain myself on any forward-looking financial questions, but I saw R&D had a very strong 20% year-on-year increase, running well ahead of sales growth. Can you just give us some color on the areas of investment here and whether this level of investment is likely to continue? And a follow-on from that, in your discussions with the Italian government customer, are there any capability areas that you are not currently delivering where they would like to see investment? That would be really helpful. And then a third, if I can ask a third would be, within your cybersecurity business, are you seeing any new market entrants anywhere you compete, that might be kind of AI-focused start-ups?
Roberto Cingolani: Yes. Thank you, Sam. Complex question. I'll try to simplify the answer. The pillar of the R&D ex investment, for sure, are digital, particularly doubling the computational power and the storage capability. This is necessary because we plan to have ground stations for the data analysis that are produced in the multi-domain, and we need a very fast machine for algorithms and decision-making in real time. Of course, good investment is being done through the NATCO for the drones and the adjunct for the GCAP, for the Swarm intelligence. That's very important because as you can imagine the GCAP itself is a platform, but the NATCO are developing kind of synergistically but independent to each other, their drones and their -- so the adjunct and their swarm intelligence capability. So that's very important. We are investing a lot in command and control because, of course, within the Michelangelo, as you might remember from the previous presentation, the idea that we have to develop a module that becomes a upper layer of communication among different platforms and the module itself is agnostic with respect to the platform or to the effector. So it could be adapted to let an aircraft manufactured by a company and the tank manufactured by another company with the same -- under the same command and control and under the net umbrella, that requires a specific investment in terms of new electronics and of course, the sensors. We are investing on the long-range radars because we have started the activity on the 1,300 kilometers, 1,400 kilometers range radars that will be the last ring of the chain for sensors, radars that go from 30 kilometers to almost 1,000 kiometers. Investment then is done in many other areas. Cybersecurity is presently undergoing a strong acceleration in that whatever we will do in the future, either cyber war, anti-threat or multi-domain Michelangelo Dome, whatever, we will need a strong capability in cybersecurity. All signals will be wireless. So you really need to be strong in terms of cybersecurity. Those things are developed in parallel. Compared to the past, those are not silos. Those are synergistically developed programs, in which all divisions and all engineers are [ adding ] to each other. And I think this is the main difference. There is a coordination in terms of how we develop the new technologies for the multi-domain application, let's say, dual-use hybrid war applications and so on and so forth. Concerning our estimate of the competitiveness in the future landscape of hybrid war, that, of course, it's a very complicated question. Let me tell you something we are now developing -- we are starting more than developing. I mean you see in some of the important sites where the statistics are developed for defense and so on. You see that, for instance, the cost of the Ukrainian war is in the range of a fraction of $1 trillion, $0.4 trillion or so over the years. But then you read that the forecast for the damage caused by cyber war, cyberattack in the future is going to grow exponentially. In 2020, the cyber crime caused losses for approximately $1 trillion in a year. The forecast for 2030 is $1 trillion per month. So obviously, if you compare the expectation of the market that will be involved in the anti-threat for the hybrid war, this is much bigger than the conventional defense. It's hard to say what part of this market can be targeted by a company at the moment. No one has this kind of statistics. This is what we are doing now. We're trying to evaluate where we can focus our attention. And for sure, cyber threats will be central. For sure, there will be infrastructural threats that can be primarily reduced by satellite observation. So all those things are being analyzed at the moment. I think by March 12th, we're going to bring you some forecast, at least a large, of what could be our positioning and what could be the size of the hybrid war products in terms of financials and R&D effort, whereas the one in terms of standard war, let's say, multi-domain war, that's much more clear, and we know exactly where to go. You will get all the numbers in a couple of weeks' time.
Claudia Introvigne: So next question is coming from Alessandro Pozzi from Mediobanca.
Alessandro Pozzi: I have three, if I may. The first one on Aerostructures. I think it's positive to see that you've turned a profit in Q4, even though it was mainly driven by contingencies. Can you perhaps quantify what was the impact of contingencies in Q4 there? And while on the topic, in your opening remarks, you mentioned that the deal is getting closer with your partner. Can you perhaps maybe tell us what the new JV in Aerostructure could look like? What could be the perimeter and what could be the potential for growth there? The second question on margins. I think you've broken down the elements of the margin increase, volumes versus mix. I was wondering what is the impact also from the cost efficiency that you are implementing into allowing the company to increase margins at the EBITA level. And final question on free cash flow. I think it's good to see that you're increasing cash conversion. Can you give us a sense of whether there was any positive working capital impact on cash flow and thinking more in terms of advanced payments.
Roberto Cingolani: All right. So Alessandro, I'll give you a partial answer. And then, of course, I will ask Giuseppe to complete the answer. So concerning free operating cash flow, I will leave the stage directly to Giuseppe in a minute. Concerning to margin and cost efficiency, we have a maniac approach in cost saving. I will not bother you anymore every 6 months telling you how much we are saving in the saving plan, but I can assure you we are exactly on track. That famous EUR 1.8 billion savings done on the direct and indirect procurement, it's absolutely in agenda. It's at reach. There is a strong commitment. So no departure from the commitment. Second, a lot of efficiency in the production. The capacity boost that we mentioned -- we presented to you a few months ago is now operating in most of the hardware platforms, where there is a lot of work to be done. We're incorporating Iveco for the land defense. We are doing a lot of things, optimization also in helicopters. Electronics obviously -- I mean, I think you noted how fast was growing electronics. I think we were growing from a few billions to almost EUR 8 billion this year. So obviously, electronics has to update its own organization because it's so central in the payload strategy and in all the joint ventures that Leonardo is doing. I mean, we are providing weapons and sensors and payloads to land defense, to the GCAP to drones. So basically, this is at large all electronics. There, we are working a lot in efficiency and not reorganization, but efficiency in the organization. That includes hiring new engineers, hiring new people, improving the industrial capability. So those things are rolling. It's a continuous progress. What I can say, but then, of course, Giuseppe will be more precise, the fact that in 3 years, we grew up by, let's say, 20% to 30% orders and revenues. And by 40% and 80% EBITDA and free operating cash flow means that, though with some jet lag with some delay, you do see now that things are improving the way we wanted. Of course, Giuseppe is monitoring this with very specific measures that we will tell you, but I can guarantee there is absolute attention and commitment in the company to keep the -- all those parameters in terms of efficiency and margins high. Concerning Aerostructures, yes, the deal is closed is getting close indeed. We -- at the beginning the company will be a 50-50 company. You have to consider that it's very important for the trust of our customers, that are important customers such as Airbus and Boeing that we have to guarantee that, of course, we keep the standard. Meanwhile, we build something much bigger with a much bigger market. We are making the calculation what -- how big this market could be. So this will be disclosed very soon. But I can tell you, I mean, it's by far more than what we have now in terms of Aerostructures. It's substantially higher, maybe triple or so. Let's see for the numbers also what will be the incentive policy that the country we're talking to will be able to put on the table. But the numbers are definitely quite big. I think that in the future, we will be able to place the position in terms of size of the new company in the top 3 around the world, let's say, as an indication, okay, which is definitely much bigger than Aerostructure.
Alessandro Pozzi: About the reason, when you can announce?
Roberto Cingolani: Look, concerning me, I will be ready, yes, today. Concerning our partner, I think they're also impatient. But as I said, there are also kind of political steps that they are not in our hands. But the agreement is that we give the exclusivity for closing up to June. So I believe that, yes, that should be the range.
Giuseppe Aurilio: Okay. Roberto, about the release of contingency in Aerostructure, the order of magnitude is about EUR 15 million. Consider also that we had an acceleration on the delivery rate just in the last quarter. So we delivered and we took a marginal so small in the last quarter of something that has been produced earlier and it was in the stocks. So -- but the order of magnitude is in that range, EUR 15 million to EUR 20 million. About the cost efficiency, Roberto has perfectly replied. So of course, it is included in the improvement that you see in the EBITA when we talk about improvement of profitability is driven by these efficiency actions. And free operating cash flow, of course, it's a mix of different divisions, different type of contracts. We got some advanced payments as it is customary on the export contracts. On the other hand, in some divisions, we had a negative impact deriving from the acceleration of the production. So overall, the working capital is going to contribute more or less in line with last year, so slightly negative to the free operating cash flow. And by the way, it is important to underline that the more we grow, especially on the international market, the more we get recurring advances. So it's a recurring event, I mean.
Claudia Introvigne: Okay. The next question is coming from Carlos Iranzo from Bank of America.
Carlos Peris: I actually have two, if I may. First one, I would like to come back to Aerostructures. Regarding the split in the joint venture, the 50-50, is it always going to be 50-50? Or could you progressively transfer ownership to the partner down the line? And then I just wanted to see if you can share a little bit of color on the Electronics Europe margin in 2025 ex the joint venture contribution, basically looks like there is a very little margin improvement year-over-year. So what are the reasons that have prevented you from increasing margins a little bit more in 2025? Is it mix? Is it R&D? Is it phasing of some contracts?
Roberto Cingolani: Okay. Thank you, Carlos. I'm going to answer first about Aerostructures. I think I can safely say that the original -- the starting 50-50 is going to change, primarily because this is a long pathway towards transferring or doubling technologies is a very complex like in aerospace. And I believe that it's very natural to think that while we make the new plant in partner country, we need to train and create the conditions to produce components that are certificated. So what I imagine normally is that you improve the quality of the fabrication, you gain certification and then you can transfer more and more their activities while you develop brand-new activities somewhere else. So yes, I believe that with progressing the standard of the industrial setup, industrial capability in the new company, there will be the possibility to change the ratio between the share among the 2 partners. So I think so. Now the timing for that, it depends on the results, how fast the quality will grow, how soon they will be capable to reach the right standard for aviation authorities and so on and so forth. But we're totally committed. And the good thing is that we're not making something to make it shorter. We are expanding substantially the product portfolio. And of course, there will be -- there is even more job force that will be employed. It's really a think big program. It's not a think small program. So for sure, there will be an evolution, dictated by the standard of qualification, the standard of fabrication. Concerning the margin of electronics, of course, I'll leave the stage to Giuseppe in a minute. But I just want to wrap up one thing. The big program where you expect, how to say, big margins and big money to come are land defense Rheinmetall. That started 1 year ago, and we delivered the first, I think, six infantry vehicles. And we are presently developing the complete version of what we call the Italian version that integrates all the sensors and the weapons and command and control electronics into the machine. I think the first machine will be delivered in the next months. And then we are now starting to work on the MBT, main battle tank prototype. So if you see the order profile that we presented in the plan, but I will eventually update this, remind you in the presentation on March, the delivery should start in -- should rise in 2028, 2029, 2030 with about 100 pieces per year. At that point, you will see massive impact because there will be massive transfer of those technology. At the moment, we are talking about small units, 6, 7, 10 maybe and also still at the development level because, we are, especially on the main battle tank, we are making the first -- we're working on the first prototypes. So I think there is a kind of a little jet lag between when you start producing the platforms or delivering the first 5, 6 platforms and when you go into the massive production, which is expected to be in the next 2, 3 years. I think for the infantry vehicle is from '27, the massive growth. I think next year is something like 15. I don't remember exactly, but '27 growth. And for the main battle tank, it's around '29, '30. So at that point, you will see big numbers coming. The second big program is drones. Now drones, we had a spectacular acceleration because in 8 months, that is in April, we will have the first midsized drones produced and assembled in Ronchi dei Legionari, our plant in Northern Italy. And we are working on a daily basis with Baykar to integrate brand-new technologies. There are important things I will tell you in 2 weeks when we will present the update of the plan, telling you that we are making a really paramount effort on accelerating drones and unmanned flying objects, including rotorcraft, not only fixed wing. But also there, before selling hundreds of pieces, there will be kind of 1 year, 6 months of delay. We have to demonstrate the machines landing in special conditions or serving in a crew -- sorry, in a swarm -- operating in a swarm. So those things are planned for the next few months. Once again, you will see the impact on electronics immediately after. GCAP, well, I mean, this is a longer program, but again, there we are investing on that level. So I think this is quite normal. But the very good thing is that we are slightly ahead of schedule with the drones, absolutely on schedule with the land defense systems. And the GCAP is doing well. And by the way, it remains the only one program worldwide. So I believe that you will see the development of the margins and the numbers of electronics in due time without any surprise.
Giuseppe Aurilio: Yes. And Carlos, about the margins in electronics, when we look at Europe only, it has been increasing over the year. It was 10.3%, I think, in 2024, and now it's close to 11%. So again, the slight increase of electronics is due to a dilution coming from the JV. So not from the trend of Electronics Europe, which is doing very well. So of course, R&D is increasing, as said, but we are paying back with the profitability we are producing.
Roberto Cingolani: Yes. And Carlos, one last remark. Of course, you've seen our intention, our plan with the Michelangelo Dome that we presented just a few months ago and will be a strong part of the future plan. And there, even if you are platform agnostic, so in principle, we could not sell a single platform in principle. There will be a lot of electronics in terms of radars, sensors, weapons and command and control modules that will be immediately added to the portfolio. So I expect that also to be an important source of upside for the electronics profit margins, but also for the entire group. It's going to be something big collective for all the divisions.
Claudia Introvigne: Now the next question is coming from Martino De Ambroggi from Equita.
Martino De Ambroggi: Again, on Aerostructures, sorry. Just to have a rough figure on what was the free cash flow because we know the EBITDA, but what was the free cash flow for Aerostructures stand-alone in '25? And just a follow-up on the previous answer. If I understand correctly, I don't know if it's your main goal or if it's an option, but there is a possibility to see Leonardo going below 50% of the new entity. I have another question later.
Giuseppe Aurilio: Okay. I will start from the free operating cash flow. The loss at EBITDA level this year was something like minus EUR 130 million. Of course, we invest in our structure. We are still investing in our structure because to be prepared to the plan that Roberto was describing, in any case, we need to invest. So the investment this year was about EUR 40 million, EUR 45 million. So you can easily get that the free operating cash flow was negative in the area of EUR 0.2 billion.
Roberto Cingolani: Concerning your question, Martino, about deconsolidating, let me say, in my rude language. Yes, I don't see any problem in the future. The point is that this is not simply consolidating or deconsolidating. The point is that we have to provide a horizon, a future to the entire Aerostructure business, not only connected to our traditional customer, but also to military machines and extending -- expanding the market to big airlines and so on, so forth. So that deconsolidating or consolidating in any case, this has to be positive on itself. Having said this, yes, I think that we will evaluate with great attention that the quality of the manufacturing will reach the right standard. And at that point, we can easily change our share. No problem at all. Anyway, the workforce will be unaffected. I think that the market -- the player will be very big, on a very big market on a large market area in the world. So I think the vision is very positive. The outlook is very positive.
Martino De Ambroggi: Okay. And the second question is on two future opportunities. Any update on the U.K. Jumbo helicopter order? And on the recent agreement you signed with an Indian partner, is this something that could be reflected in your business plan -- in the next business plan or it's more much further away?
Roberto Cingolani: Martino, I'm bound to -- for maybe 24 hours to confidentiality issues. if you have the questions to wait for 24 hours, we're going to talk again. What can I tell you more? Okay. So about the -- we -- I can tell you that we've been working very, very intensively with our U.K. branch and with the U.K. government. Let's wait for 1 or 2 days and things will come clear.
Martino De Ambroggi: Sorry, which was the wait time for India part?
Roberto Cingolani: No, no, not for India, only for U.K. India, Giuseppe is going to tell you.
Giuseppe Aurilio: Yes. Related to India, we set up a partnership with Adani Group, which is instrumental for addressing the growing India military demand, creating a hub for helicopter manufacturing and sustainment. You know that there will be the need to replace 1,000 units in the next few years. So it's a very big market for us. We are currently responding to Navy and Army tenders for about 300 helicopters. We'll see. However, we see also a strong potential on the civil market because of the kind of the country. I think also the civil market, there is a strong potential. So it is our best interest to be present there in the way we can.
Roberto Cingolani: Yes, Martino, sorry, because I never like to keep analysts and investors hanging on, I will tell you tomorrow, after going in 3 months. So I don't like this, the way I'm transparent is against my nature, let's say. But I can tell you one thing. As long as I will be here for the next years, I promise that Leonardo will be an international company, a truly multinational company, not an Italian company, but a multinational company. In this respect, you can imagine how important for me, for us is, that our second and third domestic countries such as U.K. and U.S. are fundamental to be considered a truly multinational company with very high tech capability and not simply a domestic company making domestic defense. I'm telling you this, I'm anticipating you this because the commitment that I got with the authorities in U.K. is that I strongly want a powerful, complete committed Leonardo U.K. because this is essential, not only for us, for our multinational vision, but also for the future of the Continental European defense. I know the U.K. is not European Commission, but it's Europe continentally. So this was my first statement with the authorities. And I think it will be reflected in the forthcoming decisions. So I'm very, very optimistic.
Claudia Introvigne: Let's go to the next question from Sebastian Growe of BNP Paribas.
Sebastian Growe: First of all, can you hear me well?
Claudia Introvigne: Yes, sir.
Sebastian Growe: Okay, cool. The first one would be around defense electronics. Giuseppe, you pointed to the 4 drivers behind the EBITA in the ES segment. Apparently, MBDA has played an increasingly important role over the last years. And based on the disclosure that we received from Airbus last week, it looks as if MBDA's operating profit margin declined by about 200 basis points and that despite almost 20% revenue growth. So the question I'm having simply is, what is the driver behind this margin contraction? And can you provide any more color how to think of the cadence with regard to the mentioned EUR 44 billion order backlog at MBDA? Then I would have one more around Aeronautics, but maybe we can take the ES question first.
Giuseppe Aurilio: Okay. Yes, relating to MBDA, I think, again, the company is performing very well. It's well above double digit. It was even higher last year probably. But again, it's more than 10% return on sales. Of course, they are investing a lot. They are preparing themselves to execute a EUR 44 billion backlog. So they are investing both in CapEx and in R&D to be ready to execute that backlog. But the main impact you see in our numbers, as I said, it's below the line. it's because of the increased tax charge they have in France. It was supposed to be a one-off. Probably it will be also in 2026, confirmed for 2026, but it's tax charge, which was not there in 2024.
Sebastian Growe: Okay. Got you. And can you eventually give some guidance or indication at least in regards to the future top line dynamics at MBDA? I think we have seen now over the last 3 years growth rate accelerating from about mid-single digits to then 10% in '24 and now getting close to 20%, as said, in the year '25. So how to think really about the trajectory of that EUR 44 billion backlog?
Giuseppe Aurilio: We will reflect, as usual, the net profit in our numbers. So of course, I mean, I cannot give you guidance about the MBDA performance in the future. I know what they are doing. We will reflect in our plan. But I mean I cannot give you guidance on the top line of MBDA because it's something they have to do.
Sebastian Growe: Okay. Fair enough. And let's move on quickly to Aeronautics, please, and more specifically here to the aircraft business. I noticed that the margin was down year-on-year, which I assume is due to the consolidation of the GCAP program. And talking about that very consolidation, it looks as if GCAP added about EUR 300 million or so to revenues. However, the EBITA addition was less than EUR 10 million from what I could reconcile. So I guess my question is, how do you think of the future sales and margin trajectory for the GCAP program in particular year?
Giuseppe Aurilio: You were perfect in getting the right answer because, of course, in GCAP, we have aircraft is acting as a prime, of course, so the margin is a little bit diluted, not at group level because, of course, also the other divisions are contributing to GCAP. But if you look at aircraft stand-alone, of course, there is a small dilution.
Sebastian Growe: In terms of how the trend from here...
Giuseppe Aurilio: In terms of trends for the future, I think, I mean, based on the programs we were mentioning, Eurofighter, M-346, C27J, JSAF, the manned, I think the profile of aircraft is very solid.
Claudia Introvigne: Next question is coming from Afonso Osorio from Barclays.
Afonso Osorio: I'll just stick to these M&A deals that you've been doing here. So 2 questions, I think it's quite quick. The first one on the Iveco deal. Thank you, Roberto, for all the detail you've given us. You mentioned giving the exclusivity for 6 months to Rheinmetall. But given that you will close the deal by March, how should we think about the contribution from this business for you specifically this year in 2026? Are you basically assuming 100% contribution for you this year? Or will you, in 2 weeks' time, give the targets for 2026, assuming you sell a part of that to Rheinmetall? And then the second question is on -- and apologies for coming back to your structures, but just to double check, will you consolidate to the numbers or deconsolidated the numbers once you announce the JV?
Roberto Cingolani: Okay. Afonso, concerning Iveco, so at the beginning, we -- let's say, we closed and we bought it all while our partners are discussing with -- waiting to understand what could be the situation with the antitrust. This seems to be usual now also with Bromo is the same. We need to wait. We do all the industrial work and then we have to wait for months and months to see what happens with the antitrust. So okay, let's see. Obviously, by the time we buy it, this will be fully incorporated in our finance and our balance sheet. And by the way, as I said, it's absolutely not bad because they have a very good backlog of orders. The margins of the trucks is not absolutely not bad. It's a double digit, quite solid. I should also mention that we are discussing about future programs for big artillery mounted on trucks. And therefore, that could be also instrumental to the creation of new products. So I believe that's a very, very safe situation in terms of industry product. Also, I'd like to tell you more industrial detail in the plant Piacenza. There's currently a double capacity in that in the same plant, we produce, they produce both trucks and armored vehicles. So even in the case we decide to split this, to carve out, we need to do some in the industrial optimization. And so this would require some months. So it's absolutely under control. Whatever we do, I could say whatever we do for the next maybe couple of years would be anyway safe. I think the decision should be made before depending on the outcome of the antitrust. And at that point, we will see. As I said before, there are other companies that will be interested where they're having no problem with the antitrust. But of course, we would privilege at the moment, the relationship with Rheinmetall because this was the original plan. If this will not be possible, we're going to find -- we're going to have other solutions. But as I said, we are ready to go work. We have the pipeline of orders. Things are running. We didn't stop one day, the plant. So it's really safe situation.
Giuseppe Aurilio: Yes. Regarding the deconsolidation, the potential deconsolidation of Aerostructure, of course, as Roberto was describing, the partner is not only a financial partner, is a financial partner with an industrial strong interest in the combination. So of course, the governance we are discussing reflect this point. Of course, they want to have also vision and therefore, not allowing us to consolidate, Aerostructure.
Claudia Introvigne: Okay. We can proceed with the next question from Christophe Menard from Deutsche Bank.
Christophe Menard: Before taking my question, I have three. The first one is on, you mentioned prepayments. Can you tell us what level of prepayments you had at company level in '25 versus -- and how it compares to 2024? Second question is on Aerostructure. Again, you mentioned a number of investments that could be coming in the future. What would be the free cash flow outlook for Aerostructure as a consequence? I mean, we understand EBITA will -- there will be some EBITA breakeven going forward, but should we expect a series of CapEx investment in the coming years? And the last question is it's probably a little bit granular, but on defense electronics in Q4 in Europe, it seems the sales dropped quite a lot. Is there any reason for this? I mean, I have -- versus my expectation, I have a miss of around EUR 600 million. So I just wanted to see whether that was related to a specific program.
Giuseppe Aurilio: Okay. Regarding the first question, we look at the working capital as a wall. So I think I said working capital is contributing negatively the same area than in 2024. Of course, the line items might be different, but the overall contribution of working capital is in that range. Aerostructure, I said, I mean, we are progressing also with executing our industrial plan in our structure. And of course, as part of this plan, we have an investment plan to digitalize the factories to improve the efficiency of the divisions. And so of course, we are investing. And this is consistent with what we are discussing with the partner.
Roberto Cingolani: Giuseppe that was instrumental for our partner to accept and evaluate very well our stand-alone plan. Without those, improvement would have been less attractive. But this was -- I mean, this is kind of past due is done.
Giuseppe Aurilio: Yes. And so this is factored in our plan when we said that it will be a breakeven in '28, '29, we will see the updated plan, but you can easily understand that we are there, we are still there and the investments are already included in that plan. Q4 electronics, I think compared to last year, Electronics Europe was something like 7% higher. But the point is that back what I was saying when commenting the cash flow as a general trend, we are working a lot to make the trend more linear over the year, not to focus on the last quarters for deliveries, invoices, cash in. This is a big effort. Of course, the results you see that we do improve. We do better in the first 3 quarters, maybe we are less focused on the fourth quarter. But this is important to us as an action because, I mean, you can have a better management of cash flow only if you are able to make this trend more linear. So you see maybe the negative side of the coin, but for us, it's an effort to be more linear over the year. We will not be, again, cash positive probably during the year because of the trend of the payments of the customers. But knowing that we have to be able to progress on making more linear our milestone, our invoicing and our revenues.
Claudia Introvigne: We move on with the last question coming from Adrien Rabier from Bernstein.
Adrien Rabier: I just had one, please. A few months ago, you told us you were reviewing the Hensoldt stake. So I was wondering if you had any update on that side, please.
Roberto Cingolani: Yes, Adrien, thank you for the question. I spoke recently to the CEO of Hensoldt. Actually, the plan was to meet end of February, beginning of March to update the mutual situation, primarily their situation in Germany. And then very likely, I will go to Germany, talk to the authorities to see what if and how we can proceed with the deal. There are different options on the table. One could be essentially selling part of the shares to let the German government, for instance, to grow in their share in Hensoldt, like it's happening in other companies, but we are very open to this. So all the options are on the table. And I think by March, we should -- end of February, beginning of March, we should have a touch base. Having said this, the numbers of Hensoldt are okay, they are the above expected, no particular warning about that. So we decided -- we're trying to go towards a conclusion by the first, the second quarter, basically, so before the summer to see what to do.
Claudia Introvigne: Thank you. Thank you all for your participation in our conference call at this point. And we hope to see you all in Rome on the 12th of March for our business plan update. Thank you, and good afternoon.
Roberto Cingolani: Bye.
Giuseppe Aurilio: Bye-bye.